Operator: Good afternoon, everyone, and welcome to MGO Global's 2023 Second Quarter Results Webcast. Presenting on today's webcast are Maximiliano Ojeda, Co-Founder, Chairman and CEO; as well as MGO's Chief Financial Officer, Vincent Ottomanelli. Before I turn the floor over to them, I remind you that during today's call statements that are not historical facts, including any projections, statements regarding future events or future financial performance or statements of intent or belief are forward-looking statements and are covered by the safe harbor disclaimers contained in the company's public filings with the SEC. Actual outcomes and results may differ materially from what is expressed in or implied by these forward-looking statements. At this time, I'd now like to introduce the company's Chairman and CEO, Max Ojeda. Max?
Maximiliano Ojeda: Thank you, Karen. It is a great pleasure to be hosting today's webcast, and we thank you for joining us and for your interest in MGO Global. Our second quarter results reflect that MGO Global is successfully executing in our plan with a star portfolio of brands and the consumer products we offer. Yet, we believe that we have yet to hit our stride. However, before we talk about what is ahead for our company, Vincent Ottomanelli will present the second quarter results.
Vincent Ottomanelli: I'd be delighted to Max. After the market closed today, we filed our 2023 second quarter report on Form 10-Q with the SEC. After it is filed, you may access it on sec.gov or via MGO's Investor Relations' section on our website under SEC filings. I encourage everyone to read the Form 10-Q and all of our other filings with the SEC to ensure you have a full understanding of our business, financial results and other important information disclosed. I'll begin with the review of our income statement of operations. Total revenues for the 3 months ended June 30, 2023 substantially increased to $1.95 million, up 1,914% from approximately $97,000 reported for the same 3 months in the prior year and surpassing total revenue booked for the entire year in 2022. For the 6-month period ended June 30, 2023, revenue substantially increased 1,067% to $2.29 million, which was up from $196,000 for the first half of 2022. Sales of the Leo Messi branded apparel, accessories and homewares offered through the Messi Store contributed notable revenue growth for both the 3 and 6 months ended June 30, 2023, rising 134% and 164%, respectively. Moreover, revenues from our new Stand Flagpole line of products were indeed pronounced, totaling $1.72 million for the 3 months ended June 30, 2023 and $1.77 million for the 6-month reporting period this year. As a reminder, we licensed exclusive rights to certain assets of Stand Co in late March 2023. So the second quarter is the first full quarter of results for this new business. Moving on to cost of goods sold in the Q2 of this year, totaled approximately $623,000, which was up 3,655% compared to cost of goods sold of roughly $17,000 for the 3 months ended June 30, 2022. This resulted in a gross profit of $1.33 million compared to $80,242 for the comparable 3 months periods in 2023 and 2022, respectively. For the first 6 months of 2023, cost of goods sold substantially increased 1,469% to approximately $757,000 and our gross profit was $1.53 million. This compared to cost of goods sold for the 6 months ended June 30, 2022 of $48,266, resulting in the gross profit of approximately $148,000. For the 3 months ended June 30, 2023, total operating expenses climbed 251% to $2.75 million, which compared to total operating expenses of roughly $786,000 for the 3 months ended June 30, 2022. This increase was due primarily to a 424% increase in selling, general and administrative expenses during the quarter. Likewise, for the 6 months ended June 30, 2023, total operating expenses increased 192% to $4.16 million compared to total operating expenses of $1.43 million reported for the same 6-month period in 2022. The overall increase in operating expenses for the first half of 2023 was largely due to higher selling, general and administrative expenses associated with the company's workforce expansion, amounting to approximately $1.05 million compared to $249,000 in the first 6 months of 2022, as well as increased sales and marketing expenses amounting to $1.78 million in the first 6 months of 2023 compared to approximately $234,000 for the first half of the prior year. The company also incurred costs associated with becoming a publicly traded company in January of 2023, which totaled $210,928 for the 6 months ended June 30, 2023. Now moving on to our net results after factoring the net loss attributable to non-controlling interest of approximately $61,000 for the 3 months ended June 30, 2023. Net loss increased 86% to $1.34 million or $0.09 loss per share. This compared to a net loss after factoring the net loss attributable to non-controlling interests of $84,000 of $721,000 or $0.07 loss per share for the 3 months ended June 30, 2022. For the 6 months ended June 30, 2023, net loss totaled approximately $2.5 million or $0.18 loss per share after accounting for a net loss attributable to non-controlling interests of $123,000. This compared to a net loss of $1.23 million or $0.12 loss per share for the first 6 months of 2022 after factoring a net loss attributable to non-controlling interest of roughly $150,000. Switching over to our balance sheet as of the end of June of 2023, we had cash on hand of $4.13 million, working capital of $4.39 million, 0 long-term debt and $4.51 million in total stockholders' equity. While MGO has continued to realize losses from operations because of our capital raising efforts to-date, including completing our IPO in January of 2023, coupled with continued revenue growth, we believe that we will have sufficient cash to meet our anticipated operating costs and capital expenditure requirements through December of 2023. Now that concludes my overview of the financial results, and I will now turn the call back to Max. Max?
Maximiliano Ojeda: Thank you, Vincent. We believe that the digital commerce industry has never been more robust and dynamic than now, and we could not be more excited about this promising future ahead for MGO. I'm especially proud of our team ability to work cohesively to successfully navigate through rising interest rates and general economic uncertainty to overcome the inherent challenges building a business that started small but is growing at a breakneck speed. As we look ahead to the remainder of the year, we believe that the decisive actions that we have been taking since going public in January and raising vital capital growth should keep us in a good position to continue taking advantage of favorable market changes and compelling growth opportunities being presented to us. From a financial point of view, you can expect MGO to continue focusing on managing our working capital with discipline and deploying our capital resources where, when and how we expect to generate the most positive impact for our shareholders. Investments in our AI-enabled sales and marketing engine are enabling MGO to lean into creative optimization strategies that are generating tangible results in our business across all key metrics, including customer growth, conversion and retention. We are also receiving high customers review for our products, which serve to provide third-party valuation of our commitment to product quality and customer service excellence. From an operations perspective, we had some exciting developments recently occur that should serve MGO well as we move forward. As you might expect, Leo Messi's recent decision to sign with Inter Miami is helping to lift awareness and traffic to the Messi Store and on our social media channels, particularly for a growing base of new American Messi fans. In fact, growth of followers on our Instagram page have jumped from 1.7 million in January to nearly 2 million, and followers of the Messi Store on our Facebook page have reached 315,000, up from 267,000 since the beginning of the year. Leo's personal social media following has also substantially increased after his announcement in June 2023, rising to 482 million on Instagram and 115 million on Facebook, up from 406 million and 111 million, respectively. In late July when Leo posted our promo of the new ROSA/VIBE! collection created specifically by MGO to mark Messi's move to the Inter Miami and available exclusively on the messistore.com, over 2.79 million of Instagram followers liked the post, with another 188 clicking like on his similar post on Facebook. Traffic to our store and mobile app boomed as a result. We have a strong pipeline of innovation across applications, categories and styles that we believe will continue to attract new customers to the Messi Store and drive new revenue per customer as we expand our total addressable market and increase brand awareness of the Messi Store for the coming quarters. Our Stand Flagpole business is also significant as demonstrated by our financial results. When we initially announced our intention to build a lifestyle brand around residential flagpoles this past March, most of you -- no, all of you were wondering why flagpoles. Through the immediate impact that Stand Flagpoles has helped in our financial performance, which has one 3-month reporting period, should help many to appreciate our logic to enter this and firing e-commerce business segment. According to the latest research report from Dataintelo, the market for flagpoles is witnessing significant expansion on a global scale with worldwide sales expected to exceed $3.77 billion over the next 5 years. We believe that demand for flagpoles and other related products we sell will be greatly fueled by the fast approaching election year as more Americans choice flags and other patriotic apparel and products to express their personal political leanings and passions. We're busy working and creating new products to join Stand Flagpoles under our new brand Americana Liberty, and we look forward to sharing more details with you on this front as the year and the new brand unfolds. Our leadership team is also committing time methodically assessing other new brand concepts, some of which we might elect to incubate to determine the long-term viability and ability to benefit from our end-to-end brand-building platform. As an incubated concept takes shape and it develops into a self-sustained brand with promising financial appeal, we will be providing you with much more detailed insights through press releases and our quarterly webcast. In the meantime, MGO is on a mission to build an enduring family of digital e-commerce brands swiftly but smartly. Overall, we remain pleased with the performance of our business, which reflects good results in the first half of the year. As we manage through the challenging environment, we will continue concentrating on driving revenue growth, achieving positive cash flow, and ultimately, attaining sustainable profitability as we expand our portfolio of brands and bring to life new brand concepts through our incubation process. Before we close today's call, for those of you who like to listen to today's webcast again, a replay of this call will be available later today on our website found at www.mgoglobalinc.com. With that said, I'd like to wish everyone a good afternoon. Karen, back to you.
Operator: